Operator: Good morning and welcome to the Byline Bancorp Second Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Brooks Rennie, Head of Investor Relations. Please go ahead. 
Brooks Rennie: Thank you, Andrew. Good morning, everyone. And thank you for joining us today for the Byline Bancorp second quarter 2021 earnings call. In accordance with Regulation FD, this call is being recorded and is available via webcast on our Investor Relations website, along with our earnings release and the corresponding presentation slides. Management would like to remind everyone that certain statements on today's call involve projections or other forward-looking statements, regarding future events or the future financial performance of the company. We caution that such statements are subject to certain risks uncertainties and other factors that could cause actual results to differ materially from those discussed. The company's risk factors are fully disclosed and discussed within its SEC filings. In addition, certain slides contain and we may refer to non-GAAP measures, which are intended to supplement, but not substitute for, the most directly comparable GAAP measures. Reconciliation for these numbers can be found within the appendix of the earnings presentation. For the additional information about risks and uncertainties, please see the forward-looking statements and non-GAAP financial measures disclosures in our 2021 second quarter earnings release. The information we will provide today is accurate as of June 30 2021 and we undertake no duty to update the information. I would now like to turn the conference call over to Alberto Paracchini, President of Byline Bancorp. 
Alberto Paracchini: Thank you, Brooks, and good morning, and thank you all for joining us on the call today to review our second quarter results. First off, I'd like to welcome Brooks Rennie, who recently joined Byline as our Head of Investor Relations to his first earnings call. Joining me on the call are our Chairman and CEO, Roberto Herencia; our CFO, Lindsay Corby; and Mark Fucinato, our Chief Credit Officer. I'll start by giving you an overview of the results and highlights for the quarter, before passing the call over to Lindsay, who'll walk you through our financials in more detail. I will then provide you with closing remarks, before opening the call up for questions. Starting on slide three of the deck. I'm pleased to report that we executed well during the second quarter and capitalized on the improving economic environment to generate outstanding overall results. Earnings for the quarter were at record levels for us as a public company, with net income coming in at $28.5 million or $0.73 per share. Profitability and return metrics were excellent across the board. ROA came in at 170 basis points, while ROTCE was 18.9%. Pre-tax pre-provision ROA came in at 216 basis points, up 10 basis points from the previous quarter. Revenue growth was solid and was primarily driven by strong loan production across all our lending areas. Excluding PPP loans, we had $315 million in loan originations during the second quarter, a record level for the company and up from $152 million in the prior quarter. Notwithstanding the impact of payoffs, which also increased, total loans ex-PPP increased by $155.6 million or 16% annualized and stood at $4 billion as of quarter end. Demand for credit continued to build throughout the quarter, as borrowers became more confident in the recovery and economic activity continued to return to normal. Overall, loan production was well balanced across commercial, commercial real estate, sponsor and equipment leasing. Notably, we also saw an uptick in commercial line utilization, which helped us to drive some additional growth in commercial balances. Line utilization was 50.6%, up from 48.5% at the end of the prior quarter. While increasing loan demand was a key factor in our growth, we're also seeing the benefit from the talent additions we've made over the past few years, particularly in C&I and CRE. These bankers are steadily building their books and making a larger contribution to balance sheet growth. Last quarter, I mentioned that we were encouraged by the growth we're seeing in our leasing business. Contributing to that growth were additions made to the team, with expertise in industrial and material handling equipment. These hires not only complement our team and increased volume, but also add diversification to the portfolio at attractive risk-adjusted yields. We continue to actively look at opportunities to add talented bankers to our franchise. Moving on to government-guaranteed lending. This business also had another strong quarter of production with $143 million in closed loans, compared to $112 million in the prior quarter. Investor appetite for these loans remains robust, with secondary market premiums at record levels. Compared to the first quarter of 2021, gain on sale income increased by nearly 48% to $12.3 million. We remain a market leader in this business. And as of June 30, we are the fourth largest 7(a) lender in the United States. On the liability side, we continue to see the effects of clients operating with higher liquidity levels and also saw good inflows of deposits from new relationships to the bank. The quality of our deposit base remains exceptional. Noninterest-bearing deposits increased $74 million and now account for 41% of total deposits. This improvement in our mix drove another 4 basis point decline in deposit costs to just 8 basis points, which is a cycle low. This, combined with stable earning asset yields, help us to increase our margin by 1 basis point for the quarter, excluding the impact of accretion income, which today, is no longer as material as it was in prior quarters. Notwithstanding the rate environment and higher liquidity, the margin has held up very well when compared to other banks in our market. Asset quality continued to improve, with both NPLs and NPAs declining, again, from the prior quarter, both in dollar and percentage terms, while net charge-offs declined significantly and came in at 17 basis points. Our provision was reflective of our reserve release, while still maintaining our allowance at 138 basis points of loans or 155 basis points, excluding PPP. Our capital position remains strong, with a CET1 ratio of just under 12% and total capital ratio of just under 16% at quarter end. With our strong level of profitability and capital position, we've been able to increase the amount of capital that we return to shareholders. Our Board authorized an increase to our quarterly common stock dividend from $0.06 to $0.09 per share, which is now 200% higher than when we initiated it at the end of 2019. During the second quarter we repurchased approximately 539,000 shares of common stock. And our Board also authorized the repurchase of an additional 1.25 million shares. Given the strength of our balance sheet, we are well positioned to support organic growth continue investing in the franchises -- in our franchise and pursue strategic opportunities while returning capital to shareholders. Now, I'd like to turn over the call to Lindsay, who will provide you with more detail on our results.
Lindsay Corby: Thanks Alberto. Good morning everyone. I'll start with some additional information on our loan portfolio on slide 4. As Alberto discussed earlier, the new loan production and increased line utilization more than offset the forgiveness we had on PPP loans and runoff in the acquired portfolio. Our originated loan portfolio increased by $64 million or $205 million when PPP loans are excluded. Each major area of the portfolio increased from the prior quarter with the exception of the expected residential mortgage runoff. When PPP loans in the residential mortgage loan portfolio are excluded our originated loan portfolio increased 22% over the past year, which reflects the growth in our core commercial client base as well as the strong demand we have seen for equipment financing which is up 66% over the past year. The growth of the originated portfolio during the second quarter was offset by a decrease of $49 million in our acquired loan portfolio, including $13.1 million in resolutions in the acquired impaired portfolio. Excluding PPP, we had $315 million of new originations in the second quarter, which was partially offset by $218 million of payoffs. With respect to PPP loans, we have included a page in the appendix on page 14 that provides details on the balances, forgiveness and fees from their respective rounds. Turning to slide 5, we'll look at our government-guaranteed lending business. At June 30th on the on-balance sheet SBA 7(a) exposure was $474 million, approximately $32 million higher than the end of the prior quarter with $78 million being guaranteed by the SBA. The USDA on balance sheet exposure was $68 million, down $20 million from the end of the prior quarter of which $32 million is guaranteed. We are seeing generally improving trends in this portfolio with most borrowers returning to regular payment status, following the expiration of deferral periods and subsidies. However, we remain cautious until the economy demonstrates more resiliencies. As a result we've kept our allowance as a percentage of the unguaranteed loan balances, unchanged from the end of the prior quarter at just under, 9%. Moving over to deposits on slide 6, our total deposits increased $68 million from the end of the prior quarter to just under $5.1 billion. The growth came in our lower cost of deposit categories, as we continue to see strong inflows of commercial transaction deposits that are replacing higher cost time deposits. This resulted in a continued positive shift in our mix of deposits. Non-interest-bearing deposits increased to 41% of total deposits from 40.1% at the end of the prior quarter, while commercial deposits continue to account for over 75% of all non-interest-bearing accounts. Time deposits represent only 14% of total deposits. Our deposit composition continues to be a core, strength of our franchise. Moving on to net interest income and margin on slide 7, our net interest income was $58.2 million for the quarter, up 2.7% from the prior quarter due to higher average balances of both loans and securities as well as lower funding costs. On a GAAP basis, our net interest margin was 3.74% in the second quarter, down three basis points from last quarter. Accretion income on acquired loans contributed nine basis points to the margin for the second quarter, down from 13 basis points in the last quarter. Excluding accretion income our net interest margin was 3.65% an increase of one basis point, primarily due to the decline in our average cost of deposits. Looking forward, our GAAP margin will be impacted by the $11.8 million of net processing fees from PPP loans, though the exact timing and the amounts are dependent upon the SBA's timing and process for forgiveness. We believe our core net interest margin excluding accretion and PPP will see pressure as a result of lower loan yields next quarter with less offsets available on the funding side, as a result of our cost of deposits coming down to eight basis points. We anticipate that the margin should stabilize by the end of the year and begin to increase, as rates begin to rise. Turning to non-interest income on slide 8, in the second quarter our non-interest income increased $5.3 million from the prior quarter. Relative to the first quarter of 2021 we had balanced growth in fee income consistent with economic activity in our markets. The largest increase came in our net gain on sale of loans which were up $4 million, due to higher volume of loans sold and record level premiums. We sold $100.6 million of loans in the second quarter, up from $73.9 million in the prior quarter. Longer-term loans accounted for a higher percentage of the loans that were sold this quarter which had a positive impact on premiums. Our non-interest income also benefited from a smaller change in our loan servicing asset revaluation this quarter, compared to a $1.5 million charge in the prior quarter. Moving to, non-interest expense trends on slide 9. Our non-interest expense was $43 million in the second quarter, up from $38.8 million in the prior quarter. The increase was primarily attributed to two factors. First, our salaries and benefits expense in the prior quarter was reduced by $2.8 million in deferred loan origination costs related to the second round of PPP loans. And second, we recorded an impairment charge of $1.9 million on assets held for sale related to former branch locations. These increases were partially offset by a $1 million decline in occupancy and equipment expense, primarily due to seasonality related to our winter months. In addition, during the quarter, we consolidated an additional two branches and repurposed the locations into commercial loan production offices. Our branch count is now at 44, and the average branch size has increased to $115 million deposits per branch. We continue to focus on our expense run rate and look for opportunities to gain efficiencies. Our adjusted efficiency ratio improved to 49.5% in the second quarter from 50.4% in the prior quarter, due to our growth in revenue. As we continue to invest in our talented team including the additional bankers as Alberto described earlier, we believe the quarterly expense run rate will increase slightly. We believe non-interest expense will begin trending between $42 million to $44 million per quarter. Turning to slide 10, we'll take a look at asset quality. We continue to see positive trends across the loan portfolio during the quarter. Excluding government-guaranteed loans our nonperforming loans declined 10 basis points to 66 basis points of total loans and leases which was reflective of solid resolution activity. Net charge-offs also declined to 17 basis points from 47 basis points of average loans and leases in the prior quarter. In addition, we saw a 27% decline in delinquencies and continued improvement in classified assets. Given the reserve build we've had since the start of the pandemic, the positive trends we are seeing in the portfolio and the improving economy, we had a negative provision of $2 million this quarter which resulted in a small reserve release. Despite the small reserve release, we continue to have a high level of total loss absorbency, measured by our allowance plus acquisition accounting adjustments which represented 1.78% of total loans and leases excluding PPP loans, at June 30th. On slide 11, our strong capital position and financial performance have enabled us to accelerate the return of capital to shareholders this year. Through the first six months of the year, we have returned approximately 46% of our earnings to shareholders through the common stock dividend and stock repurchase program. As Alberto mentioned, during the quarter we continued to repurchase shares. Year-to-date, we have repurchased 871,000 shares and with the expanded program, we have approximately 1.6 million shares remaining. We continue to opportunistically manage our capital through share repurchases. Our capital deployment actions reflect our strong capital position and increasing optimism. We continue to generate excess capital while allowing us the flexibility to grow both organically and strategically. With that, Alberto back to you.
Alberto Paracchini: Thank you Lindsay. And turning to slide 12, I'd like to wrap up today with a few comments about our outlook for the remainder of 2021. While the emergence of this delta variant creates some level of near-term uncertainty, we generally expect the positive trends we've seen in the first half of the year to continue. No doubt there will be headwinds that will cause some level of variance in our performance, most notably the contribution of gain on sale income as we reach the seasonally slower period for loan production and premiums potentially moderating when SBA enhancements end in September. Our pipelines though remain strong, which positions us well for continued growth in the portfolio and continuing to remix our earning asset base from securities to loans. With respect to priorities, they remain consistent and we're focused on executing our strategy of growing loans deposits, improving profitability, continuing to invest in technology and capitalize on opportunities to add talent to the organization. We've built a strong reputation in the market as a bank with sophistication, balance sheet, products support and culture for talented bankers and teams to thrive in serving clients. We continue to look for opportunities to add bankers to further improve our business development capabilities. With respect to M&A, the market has been active and we continue to evaluate opportunities that fit our criteria and can further enhance the value of the franchise. In closing, we're optimistic about our ability to grow our franchise both organically and through M&A and create additional value for shareholders in the future. I would also like to say thank you to all our employees who make it happen on a daily basis for their hard work and dedication throughout the year. With that operator, let's open the call up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Terry McEvoy with Stephens. Please go ahead.
Terry McEvoy: Hi, good morning everyone.
Alberto Paracchini: Good morning Terry.
Lindsay Corby: Good morning Terry.
Terry McEvoy: I guess, Lindsay a question on the $42 million to $44 million quarterly expense outlook. Within that outlook, do you assume any additional new banking hires?
Lindsay Corby: Yeah. So Alberto talked about some of them in his remarks. So yes there are some. If we continue on the trajectory, it will trend Terry likely towards the higher end. And from there I'll keep you posted. But yes it does include the ones that Alberto had referenced in terms of his comments.
Terry McEvoy: Great. And then I guess just as a follow-up all the other banks that I talked to were just fighting over “good credits” and really not showing a lot of growth. I guess my question is, can you help us get comfortable with 16% annualized loan growth and making sure that you're winning those good credits just more than others?
Alberto Paracchini: Sure, Terry. And I think this goes back to previous quarters where we've guided to the fact that pipelines have been building up. And I think this quarter we just benefited from really business development efforts that have been building out throughout the course of the year. We do expect -- and I guess just to add to your question give you a little bit of guidance, we do expect still that mid-single-digit growth over the course of the year. So I think this is a good quarter. Payoffs as you noted there in the deck also increased. So I think we were fortunate to have really good originations this quarter across the board. And also payoffs while they increased still were very manageable. So we'll have to see in the quarters ahead, but we're seeing good pipeline still today. The market is competitive. That being said, demand for credit is good. The other thing I would add Terry is line utilization was better this quarter and we're certainly upward -- certainly aided balanced growth for the quarter as well.
Terry McEvoy: Thank you very much, and have a nice weekend.
Alberto Paracchini: All right. Thank you Terry.
Operator: The next question comes from Nathan Race with Piper Sandler. Please go ahead.
Nathan Race: Hi, everyone. Good morning.
Alberto Paracchini: Hey, Nate.
Nathan Race: I was hoping to discuss the capital deployment outlook. It sounds like you guys are still seeing some acquisition opportunities. We've, obviously, seen a number of announcements in the Chicago land area recently. So just curious in terms of the feasibility and likelihood for an acquisition over the next year or so, and within that context curious how price sensitive you guys are going to be with additional share repurchases going forward? Obviously you increased the authorization along with 2Q results today. So just trying to get some color in terms of how we should expect buybacks to unfold over the back half of this year within other options to deploy capital?
Alberto Paracchini: Yeah. I think Nate, the guidance there is we have a -- we look at acquisitions with certain parameters in terms of fit, in terms of pricing. And we have been very disciplined in the acquisitions that we've done, and I think we expect that to continue. That being said, we are seeing opportunities. As you noted the market here locally in Chicago, you've seen two transactions this year happen. So I think conversations and the M&A call it environment is certainly active and we are participating in that. We're also seeing opportunities outside of traditional bank M&A. So we're evaluating those as well. So with discipline and with the approach that we've taken in the past is I would say how we would approach M&A going forward. And the same goes for buybacks. I think you can -- obviously the Board authorized an increase in the dividend. And I think hopefully shareholders appreciate that. And we will be opportunistic also in terms of buyback activity in the context of us continuing to build excess capital. So I think that's what – Lindsay, I don't know if you want to add or Roberto, I don't know if you want to add anything else to that. 
Roberto Herencia: I would just say I mean it's a small share repurchase program, Nate. So -- and the dividend we still feel very comfortable with where we are relative to our peers. And again I think you just -- we love the position we're in right with the capital to support the growth and organic and through some -- and the growth that we think may come from some acquisition opportunities in the next 12 months. 
Nathan Race: Got it. That's great color. Very helpful. And just staying on the M&A disruption topic. Curious, if there's any lines of business or kind of other areas that you guys would maybe look to grow or opportunistically add talent in to continue to kind of smooth out the overall revenue equation in terms of reducing kind of the quarterly variability that we see within the SBA gain on sale revenue? 
Alberto Paracchini : Yes, Nate. Certainly, in our commercial lines. But I would say, I would say, in general across the board we still feel like we have opportunity across the board in all of our lines. So there's plenty of share for us to gain. So that does not preclude us to look at -- even on the government guaranteed side to look at opportunities there, if they were to arise. But I would say to your question in terms of the more traditional kind of balance sheet lending business, I would say commercial real estate and certainly our leasing business as well.
Nathan Race: Okay. Great. And if I could just ask one more on credit. The SBA charge-offs and overall charge-off levels were pretty low in the quarter. And obviously, that's benefiting from all the stimulus efforts that's been particularly targeted across the SBA space. So as we look out to next year can you guys just remind us in terms of thinking about normalized charge-off levels as it relates to your government guaranteed line of business? 
Alberto Paracchini: I think we're still going through a period Nate, where subsidy payments to some degree are still there. You have certain other government programs that benefited for example, restaurants, entertainment kind of amusement-type, industries. So we are monitoring that quickly, I think the comments that Lindsay, made are spot on which is we're cautiously optimistic. But as you see we're remaining cautious there because we want to see really when the impact of all of these programs ends really how these borrowers are going to be able to come out of that. That said the trends so far are positive. We have seen borrowers that are coming off subsidy the significant vast majority of those borrowers just resume and have resumed making their payments. So we're optimistic in that end. Certainly, for the rest of the year and I would say for the beginning of 2022 as well. 
Nathan Race: That’s very helpful. I appreciate all the colors. Thank you everyone and congrats on a great quarter.
Roberto Herencia: Thank you, Nate.
Operator: The next question comes from Tim Switzer with KBW. Please go ahead.
Tim Switzer: Hi. Good morning. This is Tim Switzer, on for Mike Perito.
Lindsay Corby: Good morning, Tim
Tim Switzer: If I could get one more from you guys on your capital distribution. You guys have increased the dividend two times now this year. Is there kind of a total or just sort of a targeted dividend payout ratio you guys are targeting over the long-term that you're hoping to kind of build up to over the next year two or three years at all? 
Alberto Paracchini: I don't know that we have anything Tim, anything that -- where we would tell you like that's kind of what our target is. I think the answer to that is really contingent on capital deployment opportunities. I also would remind you that -- remember in 2019 we had never really paid a dividend. And really we started with a very, very modest dividend. We also -- the following -- we also -- that was the first time also that our Board authorized a buyback authorization.  And we've increased that over time as our earning power has increased and certainly as our capital has built up to a point where really in our view we were generating excess capital. So we wanted to make sure that we were returning that capital back to our shareholders. So in that context is how I would say that we would think about future increases in the dividend and certainly buyback activity as well. I hope that gives you an answer to the question. 
Tim Switzer: Yes. Yes. No we're just trying to determine. I mean, you're kind of generating a little bit of extra capital with these PPP fees. So deploying that through share repurchase makes sense but trying to get more of a long-term look at what your capital distribution would be over the long-term. And then--
Alberto Paracchini: Yes, I would add to the comment that Roberto made on the prior question, remember we're coming off a low base. So, certainly as the earnings power and the earnings of the company continues in an upward trajectory certainly -- we certainly feel we have flexibility with respect to our dividend in the future.
Roberto Herencia: And I would just add -- Lindsay keeps us really very grounded and honest and we never want to be in a situation right to disappoint. Meaning that you're paying a certain dividend and then you have to reduce it or do something that doesn't make sense, right? So, I think we're guided by all the factors that Alberto mentioned, but also by where we are relative to our peers and also not wanting to disappoint the market.
Tim Switzer: Of course, okay. And if I could get just a little bit more color on maybe what are you thinking longer term for your SBA sales? Because right now they are probably just a little bit elevated with the margin and the high demand. But maybe going into 2022, if we have a more normalized market, you guys have clearly won share I think over the last year. So, what's kind of a normalized level we should be looking at? 
Lindsay Corby: Yes. So, the premiums are really being driven right now by the subsidies that are out there and the liquidity in the market. So, I do think that this year has been an anomaly in particular. So, in terms of guidance, I'd look back historically and it's a function of just historical premiums and really volume. So, we continue to grow the business and continue to originate slightly more every year and it will be more consistent with what you've seen in the past few years. I think this year has been phenomenal just given the subsidies that the government put in place and we've just really been able to capitalize on that.
Tim Switzer: Yes. Okay, makes sense. And if I could get one more. We're hearing a lot about really competitive loan market with banks have all this excess liquidity they need to deploy. So, have you guys seen that in your market as well? And if you could talk about if there's any categories where it's a little bit more intense than others competition-wise?
Alberto Paracchini: Sure. I think Tim I think it's fair to say that I'm sure every banker that you cover tells you that their market is the most competitive market ever and we would agree with that. So, yes, the market is competitive. I would say in relative terms today I would say C&I is probably the most competitive market followed by CRE. CRE has been compressing. Pricing had widened and certainly came into the year wider than it is today. It's been compressing. So, far we have not seen a deterioration in terms of structure although I -- that probably is the next shoe to drop so to speak. But I would say those two -- probably C&I has been consistently very competitive and it makes sense because you're competing -- it's a set pool of customers. You're competing for creditworthy customers and you're trying to establish long-term relationships. So, people are generally going to be aggressive to try to win the business first in the context of that business really being with the bank for an extended period of time. On the SBA front, I think we've been pretty disciplined in how we approach that. And in some of our other niche businesses like leasing I think if anything that's been pretty steady. And sponsor, again, a little bit more competitive, but I think again consistent with what we have seen within bounds with what we are accustomed to operating in.
Tim Switzer: Great. Thanks for the color.
Operator: [Operator Instructions] The next question comes from Brian Martin with Janney Montgomery. Please go ahead.
Brian Martin: Hey, good morning guys.
Alberto Paracchini: Good morning, Brian.
Lindsay Corby: Good morning,
Brian Martin: Could you guys just give a little thought maybe Lindsay on just even Alberto on the margin and just to the context that the loan yields may be coming under a little pressure to Lindsay's comments earlier, but the -- in this quarter there was some nice expansion of the core loan yields kind of ex the PPP. So, just trying to understand what the driver was of that this quarter? And then just kind of the context of the guidance going forward that those loan yields certainly would be under pressure given the competitive environment?
Lindsay Corby: Yes. So, I think really the wildcard with the loan yields is really pay off in terms of what's driving that. So, what we've been seeing is at times we have pay offs that have higher loan yields and we just can't replace those deals. So, you're seeing that headwind. And I think that's what's reflected in my comments, Brian. But there are some upsides for sure in terms of the other mix of loans and what types of loans we bring on. So, for example, in September, the SBA subsidies expire, we'll go back to a 75% guarantee. The SBA loans for example are yielding a higher percentage at prime plus 2.50% to 2.75%. So those will obviously help the margin and offset some of that. So again, there's moving pieces. And again the payoffs are really the wildcard. And if payoffs are less than we anticipate things will be better. But given what we've been seeing and as these higher-yielding assets come off it's very difficult to replace them.
Brian Martin: Yes. Got you. Okay. Thanks for the help there. And then just -- with regard to the SBA is there a new legislation out there that could change kind of the outlook for I guess there's been some talk it seems like that there could be some benefit with this new legislation out there. I guess can you guys comment on that at all, or just kind of what you're seeing with the new legislation that's out there?
Alberto Paracchini: Actually, Brian the only thing new that I've heard very recently is the infrastructure bill potentially taking some of the -- essentially ending the benefits sooner. Now remember the fiscal year was scheduled to end at the end of September anyways. But if the bill were to pass and the bill would be signed by the President and the language sticks in the legislation then potentially that subsidy would go away quicker. It doesn't impact the subsidy payments though -- that comes from a different pot of money. But that's -- as far as we know that's the latest that we've heard most recently frankly this week.
Brian Martin: Yes. Okay. All right. I'll check into that. And then just on the reserve in general it sounds as though I mean you're still carrying a high level of reserves on that government guaranteed book. I guess as we think about some of these things changing and you guys get more clarity I guess it feels like there's opportunity for that to move lower as you is that the plan as you guys get more clarity and as these subsidies kind of wind down?
Alberto Paracchini: I think potentially -- I would caution you though on the fact that to the degree that the portfolio continues to grow naturally you would obviously see us provisioning to account for growth in the overall portfolio. So just keep that in mind. 
Brian Martin: Got you. Yes. Okay. And then last one for me is just really on the -- I guess on the timing of the PPP I guess given what we've seen from some other banks in commentary it seems consistent that you guys would expect the bulk of the PPP to try and get resolved or forgiven this year and some -- maybe some tail into next year? Does that still seem appropriate?
Lindsay Corby: Yes. I think the majority of it will be -- will be recognized by the end of the year but there could be some spillover for sure.
Brian Martin: Yes. Okay. All right. That’s all I had, and thanks and congrats on the great quarter.
Lindsay Corby: Thanks, Brian.
Brian Martin: Thank you.
Operator: And we have a follow-up from Nathan Race with Piper Sandler. Please go ahead.
Nathan Race: Yes. I appreciate the follow-up question. Just a question on overall balance sheet growth expectations as the PPP forgiveness process continues to unfold. I mean we saw deposit growth slow a little bit in the quarter on an average basis. So just curious as the PPP runoff continues do you guys expect overall earning asset growth going forward, or is it more of a remix equation that we should be thinking about in the back half of this year and into 2021 -- I'm sorry 2022 as well? 
Lindsay Corby: Sure. So as long as the loan growth continues, obviously, we'd like to see that mix change right? And as we have excess liquidity to continue deploying that into loans and letting the securities portfolio run down. So it's really a little bit of both Nate in terms of redeploying here. So as a reminder we do have PPPLF on our balance sheet. So that does play a factor as well. So in terms of the balance sheet mix yes, we'd like to try to continue to grow loans and remix more into loans wherever possible.
Nathan Race: Got it. But just generally speaking I mean do you expect the earning asset balances to grow as the PPP loans run off, or do you expect that kind of liquidity to kind of remain on balance sheet to some extent?
Lindsay Corby: It will remain to some extent. I mean we still have $400 million that's going to be coming off here over the course of the next six months to nine months call it and it's going to be tough to deploy it that fast. So I think you'll see it come down a little bit in terms of overall earning assets.
Nathan Race: Okay. Very helpful. Thanks again, everyone.
Alberto Paracchini: Thanks, Nathan.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Alberto Paracchini for any closing remarks. 
Alberto Paracchini: Great. Thank you, operator. So that concludes our call this morning. On behalf of all of us here thank you for your time today your interest in Byline and we look forward to speaking with you again next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.